Operator: Good morning and welcome to the Northwest Pipe Company's Third Quarter 2020 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Scott Montross. Please go ahead.
Scott Montross: Good morning and welcome to Northwest Pipe Company's third quarter 2020 earnings conference call. My name is Scott Montross, and I'm President and CEO of the company. I'm joined today by Aaron Wilkins, our Chief Financial Officer. By now, all of you should have access to our earnings press release, which was issued yesterday, November 4, 2020 at approximately 4 P.M. Eastern Time. This call is being webcast, and it is available for a replay. As we begin, I'd like to remind everyone that statements made on this call regarding our expectations for the future are forward-looking statements, and actual results could differ materially. Please refer to our most recent Form 10-K for the year-ended December 31, 2019 and in our other SEC filings for a discussion of such risk factors that could cause actual results to differ materially from our expectations. We undertake no obligation to update any forward-looking statements. Thank you for joining our call today to discuss our results. I'll begin with a review of our third quarter 2020 performance. Recently, we've seen second half fitting delays related partly to the COVID pandemic, which have caused our backlog to moderate downward. However, these are not project cancellations, but simply delays. As of September 30, our backlog, including confirmed orders for the Northwest Pipe legacy business, was $231 million compared to $246 million at the end of the second quarter of 2020 and $270 million at the end of the third quarter of 2019. As we've continued to say, any backlog over $200 million is historically a very strong backlog. We have been over $200 million for the last nine quarters, during which time the backlog has fluctuated between $204 million and $276 million. Our third quarter ending backlog of $231 million is, by historical standards, a very high backlog. In addition, our order book for the precast concrete business remains elevated even as we move into the seasonally slower time of the year.  Third quarter net sales of $77.6 million were positively impacted by a $12.5 million contribution from the Geneva Pipe and Precast assets, which were acquired in late January of this year. Strong legacy margins and positive contributions from Geneva helped drive a slight year-over-year increase in our gross profit dollars to $15.6 million and a gross margin that exceeded 20%. Our legacy steel pressure pipe business in the third quarter of 2020 was negatively impacted by shifts in job timing, partly due to COVID-19-related factors. While steel pressure pipe jobs have momentum, the process for approving projects, bidding and engineering has been taking longer due to the highly complex and fluid challenges inherent with the current macroeconomic environment.  To a lesser extent, net sales for the legacy business were affected by the residual impact of the government-mandated shutdown of our water transmission steel pressure pipe plant in San Luis Rio Colorado, Mexico, or SLRC for short. As we've discussed, we are authorized to resume partial operations of SLRC at 30% staffing on June 1, and steadily ramped up production back to pre-COVID-19 levels as of July 31, after bringing all of our SLRC employees safely back to work.  As a result of our large backlog at the SLRC facility, we have since exceeded pre-COVID-19 operating levels at the facility. We are continuing to see strong production volume at SLRC and expect it will remain elevated through the balance of the year. The year-over-year decline in revenue at our legacy business during the current COVID environment was offset by strong performance in the Geneva Precast business, which helped increase both revenue and gross profit dollars. This demonstrates a key element in our growth and diversification strategy, as the precast concrete business helps offset periods of choppiness in the legacy steel pressure pipe business due to the transactional nature of the precast concrete business.  As we move into the fourth quarter of the year, we expect fourth quarter revenue and the resulting gross profit margin to be lower than the third quarter as there have been a number of customer-driven project delays that have moved work out into 2021. However, as we look out into 2021, market demand is projected to remain solid and the structure of our business remains stable and strong.  I would now like to turn to a discussion of our two-pronged growth strategy. First, maximizing our core steel pressure pipe water transmission business remains key to our strategy. We have made significant progress over the last three years in reducing project costs through focusing on lean manufacturing-driven cost reduction programs. As many of you are aware, we currently have approximately 50% market share in the steel pressure pipe market, a market that is between $450 million and $600 million of annual business with an expansion or acquisition opportunities that are fairly limited. Therefore, our goal is to continue to optimize this business in order to drive maximum shareholder value. The second prong of our strategy is to grow in the precast concrete market. We had entered this market in January of this year with the acquisition of Geneva Pipe and Precast. The addressable U.S. market in the water-related precast concrete business is $3.5 billion to $5 billion annually. Despite the current complex environment, precast demand has held up well, driving strong revenue and an elevated order book even as we head into the traditionally slow part of the year. We continue to believe that this market possesses strong growth opportunities, with high-margin potential and a superior cash flow profile. We're also working on commercializing innovative lined RCP and manholes for use in corrosive sewer applications, which we believe has significant organic growth potential as well as higher-margin opportunities. Furthermore, we are focused on growth in the precast concrete water market and continue to explore potential acquisition opportunities that have good organic growth potential, strong margin characteristics, solid asset efficiency and a strong cash flow profile.  I will now turn to a look at current and upcoming water transmission projects. In the Texas market, the SWIFT program has funded over $8 billion in projects. SWIFT is expected to continue funding major regional programs like the continuation of the surface water supply program in the Houston Metroplex to ensure sustainable long-term water supplies protections. The ongoing multiyear, multiagency Houston surface water program is expected to bid multiple segments in 2021, representing 27,000 tons of pipe for West and North Harris County Regional Water Authorities.  We anticipate both authorities having an additional project representing 25,000 tons beyond next year. The next new reservoir to be built in Texas is Lake Ralph Hall for Upper Trinity Regional Water District. This is another major program currently in design that includes a new dam and pipeline to move water into the DFW Metroplex. The pipeline represents 17,000 tons of pipe. Construction is now expected to begin in late 2022 or early 2023.  The Alliance Regional Water Authority program in Central Texas is another multiagency regional water program. The program includes a large pipeline, pump stations, treatment facilities and represents 15,000 tons of pipe. Construction is expected to begin in 2021.  In the western market, California's Prop one, $7.5 billion bond for water infrastructure has created the much-needed funding for projects within the state. According to the California Natural Resources Agency, 95% of those funds have been appropriated for various projects as of the 2020/2021 fiscal year. We expect requirements for these projects to stretch out over the next several years.  Water reuse programs have generated new opportunities in the California market, on which we expect to see bidding activity continue for the next year. Bidding activity related to large pure water reuse projects has resumed. We have identified three sizable projects bidding in 2021, representing 6,600 tons.  MWD is heading a regional reuse pilot project in conjunction with LA County Sanitation District. This reuse program will treat and recycle water from one of the largest reclamation facilities in Southern California and involves 60-plus miles of large diameter pipe. The current demonstration facility has been operating for six months, and construction of the full-scale treatment and conveyance facility could begin as early as 2025. The PCCP rehabilitation programs will result in about 5,000 tons annually over the next two to three years.  Currently, some of the owners undertaking rehabilitation programs has slowed their schedules, which appears to be COVID related. These projects are not indefinitely postponed, just shifting out from the original schedules. The site's reservoir is a water storage project that has received funding from Prop one. It will involve over 30 miles of 144-inch pipeline. The project is forecast to begin in 2024/2025. Southern Nevada Water Authority has begun moving forward in earnest with an expansion of the southern part of their water delivery system. This program, which has recently started preliminary design activity, will include approximately 25 miles of 78- inch steel pipe, with construction tentatively scheduled for 2024. In North Dakota, progress has slowed on the 140-mile 7,000-ton [ph] Red River Valley Water Supply Project. A two-mile demonstration project has been forecast to bid late in 2020 or early 2021. The bulk of the project is dependent upon 2021 legislative session to commit to full funding plan.  In Colorado, we are tracking a late 2020 final Record of Decision by the U.S. Army Corps of Engineers for the Northern Integrated Supply Project. If favorable, the construction of up to 150 miles of pipeline is expected to start in 2023. The project is located 60 miles north of Denver in the Fort Collins area. In summary, we are very proud of our employees for their ongoing commitment to working safely and very adhering to the stringent health protocols to help prevent the spread of COVID-19. While the challenges of the pandemic have created for the broader economy and our business might have caused a few issues in the short term, we believe the structure of our business is solid for the remainder of 2020 and beyond.  Furthermore, we remain well positioned to execute our strategy, given the essential nature of our operations to provide critical water transmission systems, coupled with our strong balance sheet and liquidity position. As we move forward, we will remain focused on our number one priority of taking every precaution to keep our employees safe during the COVID-19 pandemic; number two, the ongoing integration of the Geneva concrete pipe and precast assets; number three, a persistent focus on margin over volume; number four, identifying strategic opportunities to grow the company; and last but not least, continuing to implement cost reductions and efficiencies at all levels of the company.  I will now turn the call over to Aaron, who will walk through our third quarter financial results in greater detail. 
Aaron Wilkins: Thank you, Scott, and good morning, everyone. I hope you're all staying safe and healthy. I'll start by detailing our third quarter performance and will offer some additional color on the remainder of the year. Adjusted net income for the third quarter of 2020 was $7.7 million or $0.78 per diluted share compared to adjusted net income of $8.9 million or $0.91 per diluted share for the third quarter of 2019.  Adjusted net income excludes unique and unusual items and is provided for comparability purposes. The main adjustment in the third quarter of 2020 was $0.5 million in amortization of the intangible assets acquired with Geneva Pipe and Precast. Included in net income for the third quarter of 2019 was $2.3 million of income associated with legal settlement related to the pipe produced at our former TUBULAR Products facilities, $0.7 million in net insurance recovery for the Saginaw fire, $0.5 million in acquisition costs for Geneva as well as the associated estimated tax impact of those charges.  Please refer to the reconciliation of non-GAAP financial measures in our earnings release for full accounting of the aforementioned items. Our third quarter sales were the highest quarterly level achieved since the first quarter of 2013 and increased 3.2% to $77.6 million compared to $75.2 million in the third quarter of 2019.  The increase was due to a $12.5 million contribution from Geneva. Legacy revenues declined 13% from the year ago quarter due to a 37% decrease in tons produced, partially offset by a 37% increase in selling price per ton. Due to the unique nature of the water transmission systems that we manufacture, production tons are not always the best indicator of productivity and comparability between periods are highly dependent on project timing and product mix.  Gross profit increased nearly 1% to $15.6 million or 20.1% of sales compared to $15.5 million or 20.6% of sales in the third quarter of 2019, primarily due to the margin contribution from Geneva, partially offset by decreased production in our legacy plants.  The quarterly gross profit margins realized in the third quarter of 2021 were the highest achieved in the year and include $0.3 million of amortization expense associated with Geneva. Gross profit in the third quarter of 2019 was elevated by $0.3 million in net insurance recoveries. When adjusting for these items, gross margins would have been 20.5% for the third quarter of 2020 compared to 20.2% for the year ago quarter.  Selling, general and administrative expenses were slightly higher than expected at $5.7 million in the third quarter of 2020, compared to $4.9 million in the third quarter of 2019. The quarterly increase was primarily due to amortization and other costs from the addition of Geneva along with increased compensation costs. We had an income tax rate of 26.6% in the third quarter of 2020, which represents the combined federal and state tax rate that we expect in the fourth quarter. Our tax rate was 19% in the third quarter of 2019, which was reduced by the estimated changes in our valuation allowance.  Now transitioning to our financial condition. The company's balance sheet remains very strong. Total available liquidity at September 30 exceeded $85 million, consisting of $30.4 million in cash and cash equivalents and approximately $55 million from our line of credit. We had $14.4 million of debt at the end of the third quarter. We generated cash flows from operations of $14.6 million during the third quarter of 2020 compared to $4.1 million in the third quarter of 2019.  Depreciation and amortization totaled $3.7 million for the quarter. The company's depreciation varies with our production levels. Amortization of approximately $0.6 million is expected for the fourth quarter of 2020. However, the amortization of existing intangible assets is expected to decrease to $0.3 million per quarter as we move into 2021.  Capital expenditures totaled $3.3 million for the quarter and were primarily ongoing maintenance CapEx. We expect our full year capital expenditures to be approximately $15 million. In summary, Despite the short-term project delays we've encountered, we achieved strong third quarter financial results and made a challenging economic backdrop brought on by the pandemic.  Continued thanks to all of our employees for their contribution to the company's third quarter results, but even more importantly for their commitment to safety and for making Northwest Pipe Company a great place to work.  I will now turn it over to the operator to begin the question-and-answer session\
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question today comes from Brent Thielman with D.A. Davidson.
Brent Thielman: Great. Thanks. Good morning, Scott and Aaron.
Scott Montross: Hey, Brent. How are you?
Aaron Wilkins: Good morning.
Brent Thielman: I am good. Thanks. Scott, the bids that you're seeing sliding right potentially into 2021, it sounds like the reasons aren't as much funding related but more sort of process related. I guess, one, how pervasive or how broad have you seen these sort of job delays? Is it across the markets you serve? And are there any similarities in the types of jobs specifically that you're seeing sliding? Is it primarily the larger one, just be curious with what are you actually seeing out there?
Scott Montross: No, I think, the – obviously, the larger ones take a little bit more time to get ready. And with the remote working environment that we've had and the amount of time it takes whether to get permitting or engineering drawings done, I think it's just starting – it just stretch things out enough where we've seen stuff leaking out from quarter-to-quarter and really into 2020.  I wouldn’t say it’s relegated only to the larger projects, although, as you know, it takes a lot more time to get these larger projects in the work and shovel ready. But that's really what we're seeing is things are just moving and taking a longer time to get queued up to be released. We have not really seen anything related to funding at all. We still see 2020 is a pretty good year and 2021 is a year that’s pretty similar that’s getting a little bit larger by the amount of work that's moving from 2020 into 2021. So it’s certainly making 2021 look like a real solid year.
Brent Thielman: Okay. Yes, I guess – maybe on the fourth quarter, I mean, it tends to be seasonally slower for you anyway. So had expected that to come down sequentially. Just wondering if your expectations for the quarter changed from where you stood 90 days ago? Maybe you thought more work could prop it up that just isn't going to play out? I just want to get a feel for that.
Scott Montross: Yes, and I think you are right by saying, I mean you're in the time of the year in the fourth quarter where are the two major holidays. But there has been some work that has slipped out from the fourth quarter into 2021. Now, we still expect the fourth quarter to be a pretty good quarter. But obviously, when you compare it to the third quarter of this year, which we're viewing as a really solid quarter, it's a little bit less.  So I think that's probably the best way to look at it. We have seen stuff slip or jobs bidding that have slipped out enough to affect the fourth quarter, but also jobs that are in contract and under backlog that may have some delays related and get started to. And if those kind of delays tend to compound themselves a little bit, if you have a little bit of delay from the customer, then all of a sudden you're trying to get steel in and there's a steel delay, and you may not be able to get into the next year. So those things have caused the fourth quarter to moderate down a little bit versus what we see in the third quarter.
Brent Thielman: Yes. Another quarter with a pretty good-sized benefit from pricing. I think I've asked this before, Scott, but can you somehow dissect what portion of the improvement you're seeing, the 37% is – the fact that steel prices have moved higher versus just a better kind of bid pricing environment as a result of some of the consolidation of the industry? I think that becomes interesting, especially as you start to see volumes come back.
Scott Montross: Yes. And I think the – when you look at that, it's to a very large extent driven by the product mix that we're running in a certain period and obviously this period is the third quarter. So when you have a lot of projects that have significantly different pricing and costs associated with them. For example, you could have a project that has a small amount of tons that has a selling price that's $5,000 a ton. Or you could have a project that has quite a bit of tons, that's maybe a $3,000 selling price that still has a 20% margin, right? So really, I think the most important thing is to look at here is the margins because we've really seen the pricing fluctuate around a mean, and there's so many different projects, it's really hard to get a real handle on how much price is moving. The real measure of it is what does the margin look like? And as we're generating these 20% margins, we feel pretty good about the pricing level and the way things and the way things look as we go forward.
Brent Thielman: Okay. One more I’ll pass it on. Aaron, just – I mean, it looks like better cash flow this quarter. Any details kind of just around the specifics of that this quarter? 
Aaron Wilkins: Nothing has changed from our focus on current assets. So really, things have continued to go well there and our management of accounts receivables. I think our inventories dipped a little bit. That's just kind of a normal – things kind of ebb and flow a little bit with our working capital. So large part, it's just earnings based, and we've been kind of pumping out some good earnings and realize the corresponding cash flows in the third quarter of this year. So it's been good.
Brent Thielman: Has Geneva been a big help to it?
Aaron Wilkins: A little bit, Brent. I think – certainly, they're only about 15% of our business right now with our acquisition of Geneva and our first plant into the precast space. Yes, I think they're certainly helping. I think once we get a little bit more scale there, we'll see a little bit more effect from their sort of cash conversion cycle.
Brent Thielman: Okay, great. Thanks for taking all the questions.
Scott Montross: Thanks Brent.
Aaron Wilkins: Thanks Brent.
Operator: Our next question comes from Gus Richard with Northland.
Gus Richard: Yes, thanks for taking the question. Just on Geneva, can you talk a little bit about the gross margin contribution and sort of how much that's helped in the quarter? 
Scott Montross: Yes, I think, when you look at the Geneva gross margin contribution minus any onetime hits that might be taken, it's pretty much in line with the water transmission steel pressure pipe contribution for the quarter. And as we've said, Gus, as we've gone through this thing, we believe that the Geneva margins are toward the high side of what the water transmission contributions are – the steel pressure pipe contributions. In a sense, we're at a point now where we've gotten these steel pressure pipe contributions on a gross margin level up to 21%. They're pretty similar as we've gone through this period of time.
Gus Richard: Okay. And then in terms of Geneva, I think 2019, they did about $43 million, and you're on a run rate of $50 million in the current quarter and kind of implying mid-teens kind of growth rate. Is that not the way to think of it? Is it just a seasonally strong quarter? Or should we be thinking about growth of Geneva in that ballpark? Or any help there, again?
Scott Montross: Yes. What I would say is that the fourth quarter of the year on the precast business is generally the slower quarter of the year. Kind of like when we did the call on the acquisition of Geneva, we're expecting the Geneva business to be somewhere around $45 million for the year. Understanding that we didn't own them in the January time frame, so we take a little bit off for the January time frame we’ve got $45 million. So we've talked about a growth rate there that's probably a CAGR somewhere in the area of about 4% or 4.5% as you got forward and that market actually has held up quite well. And our order book for Geneva as we're moving into the slow time of the year has remained pretty steady, which is, by historical standards, a pretty elevated order book. And as we move forward, the things that we're looking at with some of the reforecasting on housing starts and population growth and interest rates, it certainly bodes well for the precast business. And I think when you look across a lot of the lines in the precast business, right now, a lot of the precast businesses that we've seen and that we've talked to are pretty much at the height of how they've been doing. So they're all making pretty good returns. So we expect a pretty good precast market as we go forward for a while. 
Gus Richard: Got it. And then on the reclamation opportunity in California, can you talk a little bit more about that? And is that a 2022 opportunity, 2023? How does that rollout? And do you see that picking up in other states? And does that also play to your precast business? Sorry, a lot of questions. 
Scott Montross: Yes, okay, I'll try to get back with the first one. Okay. So when you see what we're seeing in the water reuse business, obviously, that's taking dirty water and treating it to be reused as potable water. We're seeing more of that start to come up. It's been on the drawing board – I guess, a couple of those projects in California for quite a period of time, and they're just really now starting to come to fruition. Those are probably 2021 projects. You'd probably see some of them stretching out into 2022 and 2023. So it's definitely much more prevalent in California than we've seen in other places. Although some of the other places in the west – the Western United States has talked about it, but certainly not as prevalent as what we've seen the discussions being California. So we think that this is a growing trend, and likely that's something that we should see grow in – not only in California, but in different parts of the Western United States. And ultimately, does it spread to the Eastern and Central part of the United States? I think it's – that's to be seen. But the way that things are going, I think it's likely that it spreads to those other regions, presenting more opportunities for us to go forward in the business to provide steel pressure pipe. We haven't really seen any opportunities there related to the precast side of the business at this point, which doesn't mean that we won't. But we are seeing various opportunities for the precast business in California related to jacking pipe and things of that nature that are concrete pipe applications.  So that's just a lot of words on the question you asked. So hopefully, that answered your question, Gus.
Gus Richard: It does, that was very helpful. And then in your prepared comments, you mentioned opportunities in water for preform, not wastewater. And I was just wondering what that was referring to, if you could just clarify that comment for me a bit?
Aaron Wilkins: Yes. When we talk about opportunities in water for the precast business, it's water and wastewater. It's generally – when you look at that $3.5 billion to $5 billion water-related market, those are – those projects are related to drainage, they're related to storm sewer, to some extent, sanitary sewer and things of that nature. So it's really the wide range. 
Gus Richard: Got it. That’s all from me. Thanks so much.
Aaron Wilkins: Thanks Gus.
Operator: Our next question comes from David Wright from Henry Investment Trust.
David Wright: Scott and Aaron good morning. 
Aaron Wilkins: Hey, David.
Scott Montross: Hey, David.
David Wright: In your remarks, Scott, you referred to the steel order book. And obviously, the steel prices recently have gone up a lot and capacity utilization is up. Can you give any comments over, say, the last three, four, five months, how the recovery in the steel market has affected Northwest Pipe, whether with respect to delivery times or otherwise? 
Scott Montross: What I would say – one of the things about the steel industry right now is there's a significant amount of outages that are going on in the business at this point in time around several major producers. So our best figures on what the capacity utilization is in the steel production business is probably somewhere in the area of about 65% to 70%. So they're down quite a bit based on having the facilities down for required maintenance, whether it's relining of furnaces or things of that nature. So that's tightened the supply a little bit as we've gone through this period of time, and we have seen prices move up significantly in the steel business.  When you look at hot rolled coil, that price, based on the latest price that we've seen this week, is probably up $150 or $160 a ton over the last three months. So whether that continues as the maintenance outages are finished and capacity comes back online, there's also some additional new capacity coming online with the steel industry. I believe it's another 1.5 million tons that I believe it's with big river steel companies bringing online. So that adds a bunch back into the market. So it looks like there could be some downward pressure on steel prices as we go forward in the near future.  For us, when steel prices go up, we like higher steel prices. It doesn't bother us at all, because what that drives, is higher revenue numbers because that's built into our project cost. And we like a 20% margin on $280 million, more than we like a 20% margin on $260 million. So it just more margin dollars. What we don't like in the steel side is when it gets too volatile, where it starts to get a little bit disruptive to the bidding process when it moves so quickly. And when lead times jump out, it causes a little more problem. But I think that will start to abate here in the relative near term.
David Wright: Okay. And then you were talking about and then Gus was asking about additional opportunities to expand precast for water. Are there precast products that the company doesn't presently make that you want to add to the portfolio? Or would the opportunities be looked at more as either geographic or capacity additions?
Scott Montross: Well, there is – geographies have certain demands. Right now, our geography is – in the precast business is really in and around the State of Utah and the surrounding states. Because the precast product generally doesn't ship much more than 120 to 150 miles. It's a relatively local business. Now we also have precast capabilities at our Tracy plant to be able to make a wet cast RCP precast product. It's more of a specialty product. But quite frankly, there are many, many other precast products that could be added to the portfolio. And I think – like what's in your question, some of those are geographic related. And as you look at getting into new markets, whether it's through acquisition or through building out precast capabilities at our – some of our existing plants, I think there are additional products that are out there, whether they're more related to control systems that are in precast vaults and things of that nature, but there are many, many different products that can be gotten into. Some of them are water-related because if you think about the precast market, the water piece of it is $3.5 billion to $5 billion. But the entire precast market, we thought originally, it was probably about a $14 billion or $15 billion, market. But as it's looking now, it's actually quite a bit bigger than that. But those are other products like utilities and – in different structures. Some of them are bridge products and things like that. So the precast market is gigantic. And there's a lot of growth opportunities for products not only in water, but really in the entire precast market. And quite frankly, even some of the stuff that we do at Geneva now isn't water related. It's a relatively small part of the product portfolio, but it isn't water related.  And as you grow in that business and even growing in the water side of it, you're bound to pick up not only additional water products, but also products that are precast that are outside of water. 
David Wright: Okay. Well it sounds like Geneva is a great platform to try to find other opportunities to expand into?
Scott Montross: We like the way Geneva looks. I think it's performing at least as well as we thought when we did the acquisition, and we think there's just a tremendous amount of potential there, so…
David Wright: Okay. Well, great. And then lastly, so in terms of steel pipe and – steel water pipe and Geneva's business, too, for that matter, your end user customer is, I think, almost exclusively state and local or municipal authority related. Northwest Pipe tends to get grouped in with the so-called infrastructure stocks and the price of the stock moves around a little bit, and we've seen that recently with a little pullback generally in infrastructure-related stocks. Is any portion of your current order book federally funded? Or is there any reason in the future that Northwest Pipe's business would become – the federal funding would present opportunities for Northwest's business?
Scott Montross: Well, there's – generally, when you're dealing with the municipal projects, state level or whatever level they're looking at, if they're coming out of the state revolving funds – those are state funds. And generally, there's EPA federal funds in those. But we are not seeing any projects that we currently have with any funding issues. In fact, as we look out – and we're working on our three-year strategic plan now for the company, as we look out over the next three years, this is over the next three years, already the 75% to 80% of the projects that we're looking at have funding or funding mechanisms already in place. And in that is nowhere any infrastructure-driven stimulus package, which we believe at some point could be in the offering here.  So right now, we're not seeing anything around those kind of funding issues.
David Wright: Okay, great. Well thanks for that answer. Thanks for taking my questions. And be well.
Aaron Wilkins: You too David thank you.
Operator: [Operator Instructions] Our next question is a follow-up from Brent Thielman with D.A. Davidson.
Brent Thielman: Hi guys, thanks. I'll take a crack at this, see where it goes. But Scott, is there any reason beyond some sort of collapse in steel prices, which – it doesn't look like it's happening. But this positive mix trend, which reflects in pricing this quarter and I guess last quarter as well, that, that could reverse next year and work materially against the end 2021?
Scott Montross: Well, there's always potential pressures on pricing. As we've talked about multiple times, there's a new facility starting up in Texas in 2021, which we think that probably puts a little bit of pressure in that region on the margins for a period of time. But again, what we're seeing is, as we look at our plan for the next three years, a such large demand, not only in Texas, but going out over a 3-year period that ultimately, there's probably enough demand where that pressure on margins doesn't last for a really long time.  The other thing that we're seeing is a little bit of a demand shift that we see – that we've talked a little bit in the past about, Brent, which is demand growth in California. And probably as we go forward over the next two to three years that you may have a situation where the largest demand market for a period of time is going to be the Western United States, driven significantly by the State of California. So there are some things out there, and there's always those competitive things. But I think the way things are lining up with the demand right now, it still looks pretty solid.
Brent Thielman: Right. sake of the argument, let's say it doesn't shift materially, it sounds like you got a pretty large potential pipeline of bid opportunities for next year. It's not larger than what you thought a quarter ago. Geneva looks to be pretty steady, if not better. Economy there looks pretty good in the mountain region. Do you feel confident, barring something extraordinary in the economy, that the business should grow next year at least organically?
Aaron Wilkins: It's hard to say when you're looking out in a COVID environment to be able to make those kind of statements definitively. Right now, what I would say, Brent, is the structure of the business still looks to be strong as we go out over the next couple of years. Now could COVID affect that? It's possible. But it still looks to be strong. We haven't seen any projects that are canceling, just moving around. So it could affect certain periods of time. But over the next three-year period the business still looks to be pretty strong. And as long as things continue to hold up, it looks like the precast business is positioned for growth as we go forward at the Geneva facilities. And obviously, we continue down the road, we're looking at M&A opportunities on the precast pipe and forms side of the business, which could also create some growth over the midterm here.  So I think that there's a pretty good opportunity that the company is going to be growing. The steel pressure pipe side gets a little bit more nebulous sometimes simply because jobs start moving it around and it can affect a three-month or six-month period. But the fundamentals all continue to look very strong to where – that it looks like the business is going to be strong for quite a period of time.
Brent Thielman: Yes. Well at the moment, it doesn't look like you have extraordinary comparisons this year from a top line perspective, so – but we will make our assumptions there. 
Aaron Wilkins: Thanks.
Brent Thielman: Thank you guys. I appreciate it.
Scott Montross: Absolutely.
Aaron Wilkins: Thanks Brent.
Operator: [Operator Instructions] Seeing no further questions, I’d like to turn the call back over to Scott Montross for any closing remarks.
Scott Montross: Well, thank you again for joining our call today. I'd like to conclude by reiterating that despite the near-term projects that we've seen with projects delaying into 2021, we are still very well positioned to continue to execute on our strategy and support the water infrastructure needs of the United States well into the future. As I've said, when we look out into 2021, bidding activity is continued to be projecting to remain very strong. Our backlog in steel pressure pipe has been over $200 million for the last nine straight quarters. And our precast remains elevated even as we enter the slow time of the year. So the structure of our business remains strong, and all this despite being in a pandemic environment. So I think we're positioned quite well as we go forward.  And I'd just like to thank everybody again for joining the call. I'd like to thank our employees for their strong operational execution and commitment to Northwest Pipe, and we look forward to speaking with you again on the fourth quarter call in 2021. So thank you very much. 
Aaron Wilkins: Thanks.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.